Operator: Good day, everyone, and welcome to the Nucor Corporation First Quarter of 2015 Earnings Call. As a reminder, today's call is being recorded. Later we will conduct a question-and-answer session and instructions will come at that time. Certain statements made during this conference call will be forward-looking statements that involve risks and uncertainties. The words we expect, believe, anticipate, and variations of such words and similar expressions are intended to identify those forward-looking statements, which are based on management’s current expectations and information that is currently available. Although Nucor believes they are based on reasonable assumptions, there can be no assurance that future events will not affect their accuracy. More information about the risks and uncertainties relating to these forward-looking statements may be found in Nucor’s latest 10-K and subsequently filed 10-Qs, which are available on the SEC’s and Nucor’s website. The forward-looking statements made in this conference call speaks only as of this date, and Nucor does not assume any obligation to update them, either as a result of new information, future events or otherwise. For opening remarks and introductions, I would like to turn the call over to Mr. John Ferriola, Chairman, Chief Executive Officer and President of Nucor Corporation. Please go ahead, sir.
John Ferriola: Good afternoon. Thank you for joining us for our conference call. As always, we appreciate your interest in Nucor. With me for today’s call are the other members of Nucor’s senior management team: Chief Financial Officer, Jim Frias; and our other Executive Vice Presidents, Jim Darsey, Ladd Hall, Ray Napolitan, Joe Stratman, Dave Sumoski, and Chad Utermark. The entire executive management team would like to thank everyone on our Nucor, Harris Steel, David J. Joseph, Duferdofin, NuMit, Steel Technologies and Skyline Steel teams for working hard, working smart, working together and most importantly working safety to take care of our customers in the first quarter of 2015. The current steel industry challenges of significance whether it's a short-term challenge such as energy and industry turbulence or a structural challenge such as excess global steel capacity and Nucor team always runs totally with the challenge not away from it. We address the challenges we face head on. Times of adversity allows demonstrating to strength of Nucor’s business model with our unreliable competitive advantage and the adaptability Nucor grow stronger during periods of industry distress. Achieving that goal is the unrelenting focus of more than 23,000 Nucor team mates each day as they continue their excellent work implementing our company strategy for long-term profitable growth. I will now ask our CFO, Jim Frias, to review Nucor’s first quarter performance and financial position. Following Jim's comments, I will update you on current market conditions and execution of our strategy for the long-term profitable growth. Jim?
James Frias: Thanks, John. First quarter of 2015 earnings of $0.21 per diluted share compared favorably against fourth quarter of 2014 earnings of $0.65 per diluted share and year ago first quarter earnings of $0.35 per diluted share. The profitability of our steel segment for the first quarter of 2015 declined approximately 46%, compared to the fourth quarter of 2014. An unprecedented level of imports flooding the domestic market in late '14 and early 2015 has pressured steel selling prices margins and volumes for all of our steel mill products. The hard rolled sheet market is the weakest as a result of the combined impact of surging imports and severe inventory correction underway in the energy pipe and tube sector. Capacity utilization in our steelmaking operations fell to 65% of the first quarter of 2015 from the fourth quarter's rate of 76%. Not surprisingly our sheet mills experienced the largest decline quarter-over-quarter in production and shipments. New core sheet mill shipments decreased 14% over this period, which compared to an 8% decline in total steel mill shipments. Steel mill profitability was also impacted by continued erosion in selling prices that outpaced decreases in raw material costs. A decline in steel selling prices exceeded the reduction in our composite scrap and scrap usage cost which were $39 per ton quarter-over-quarter. Average sales prices dropped $70 per ton per plate, $67 per ton per beams and $49 per ton per sheet. The first quarter of 2015 performance of the raw material segment includes an operating loss of approximately $44 million or $0.09 per diluted share at our new DRI facility in Louisiana. That is larger than the approximately $35 million operating loss. The Newport steel, Louisiana experienced in the fourth quarter. Our Louisiana team has completed repairs and the adjustments of the process gas heater that failed the November of last year. Operations resumed during the last week of the first quarter. On the positive side, our downstream product segment continues to capitalize in the slow but steady growth underway in non-residential construction markets. As expected this segment's first quarter profitability decreased from the fourth quarter level due to typical seasonal factors. However compared with the year ago quarter, segment pretax profitability increased to more than $32 million from less than $2 million. Particularly strong profit improvement was achieved in our joist and decking and metal building systems businesses. A quick comment about our tax rates which can be confusing due to the impact of profits from non-controlling interests. After adjusting our profits belonging to our business partners the effective tax rate was 33.9% for the first quarter. Nucor's financial position remains strong. Our gross debt-to-capital ratio was 36% at the close of the first quarter. Cash and short term investments totaled $1.3 million including our net debt-to-capital ratio at approximately 28%. Our net significant debt maturity is not until December 2017. Nucor's strong liquidity position also includes our $1.5 billion unsecured revolving credit facility which remains undrawn it still does not mature until August of 2018. Nucor is the only North America's steel produce to hold the investment grade credit rating. Nucor continues to generate very robust operating cash flow throughout the cyclical up and downs that characterize the steel business. With our highly variable cost structure we benefit from significant reductions in working capital during downturns. That was the case again in the first quarter of 2015 with cash provided by operations of $564 million a dramatic increase from the year ago first quarter. Our strong cash flow will obviously increase our liquidity and retire the year end to 2014 commercial paper balance of about $150 million that have been issued to fund the portion of Gallatin Steel acquisition in the fourth quarter of last year. First quarter of 2015 capital expenditures totaled $70 million. We continue to estimate full year 2015 capital spending will be approximately $500 million. Most of our recent largest scale growth projects have been completed or near in completion. Depreciation and amortization for 2015 is expected to total about $700 million. John made an excellent point about the strength of Nucor's business model. It is one that enjoys competitive advantages and a degree of flexibility that cannot be matched by any of our competitors in the North American steel industry. Nucor's strong balance sheet consistently healthy cash flow generation and conservative financial practices are critical components of our business model. Times of adversity such as what our industry is currently undergoing once again highlight the strength and value of Nucor significant competitive advantages and superior adaptability. Our focus is not on survival but growing stronger. Earnings in the first quarter of 2015 are expected to be somewhat improved from the first quarter. The second quarter should be followed by further improvement in the second half of 2015 given the ongoing strength of non-residential construction and its impact on our steel mills and downstream businesses. Non-residential construction activity accounts for more than half of end used demand for our products. Margin in the steel mill segment are expected to improve although we will not realize the full benefits of lower raw material cost until there is a greater stability in steel pricing. As service center destocking runs its course during this transaction period steel prices are expected to stabilize and rebound. Second quarter performance at a raw material segment will reflect continued high losses at the Louisiana, DRI facility and the impact of a nearly completed one month maintenance outage at our DRI facility in Trinidad. The Louisiana plant has resumed production and it will be consuming higher cost iron ore that was on hand when the plant suspended operations following a failure in its process gas heater in early November. Our steel product segment is expected to achieve continued improvement in profitability during the second quarter. All three major fabricated construction products joist and decking, fabricator rebar and metal buildings are experiencing significant year-over-year gains in bookings backlogs and backlog margins. Over the past several months our transits [ph] has increased at the overall U.S. non-residential construction market is set to deliver square footage growth in the range of at least 7% to 8% in 2015. Such a growth rate would still place at the market almost 40% below the peak level of 2007. Whatever short-term economic and steel industry conditions we face for the remainder of 2015 new horizontal rival position of strength will allow our team to continue to execute on our improvement strategies for delivering profitable long-term growth in shareholder returns. We appreciate your interest our company. John?
John Ferriola: Thanks Jim. Nucor’s culture has always been defined by our willingness to tackle and overcome challenges. We don’t ignore problems that's not an effective strategy for success or even survival. We have confronted by challenges. We find ways to grow stronger while fixing or mitigating the problem. During the first quarter, unprecedented volumes of steel and joist [ph] continued to be a major challenge for our industry, Blatant foreign government support of their steel industries has resulted in glut of global steel production. A brazen disregard of international trade rules has led to the dumping of steel products in our market. As a result, one in three tons of steel sold in the U.S. today is produced abroad, by less efficient, less safe and less environmentally friendly countries. This is a real crisis for our industry. We are attacking this issue head on to fighting back. Nucor is working on a bipartisan basis with members of Congress and with the administration to ensure that we have strong and effective tools to combat on fair trade. If Congress passes trade promotion authority legislation by authorizing the President to enter into free trade agreements. We believe the bill must be balanced with the strongest possible trade enforcement mechanisms so that steel and other industries have the tools we need to fight this blatant disregard in international trade rules. There is substantial support from both Democrat and Republicans for doing this. Additionally, the administration must pay a much tougher one with countries that break the law. We have a set of rules governing trades. We follow those rules on foreign countries and producers break those rules there must be meaningful consequences. Applying tariffs and other remedies is simply holding governments accountable for the agreements that they signed. To that end Nucor continues to assess market conditions and will be proactive and aversive in pursuing trade cases when and where it is appropriate. I will now update you on some of our team's organic growth initiatives underway to improve our long-term cost position and expand our product portfolios to include more value added higher margins offerings that are less impacted by the tsunami of imports. After restarting operations at the end of the first quarter, Nucor Steel Louisiana is once again producing DRI, world class quality levels that our team established prior to the equipment failing [ph]. It is important to note that the process gas heater is not part of DRI technology utilized by Louisiana. But is ancillary industrial equipment required by operating plants. During Louisiana just completed shutdown, modifications to the process gas heating’s original design were implemented to prevent the re-occurrence of a similar failure. One significant modification was the installation of two large damps [ph] to enable the process gas heater to control its cooling rate which will expand the life of the tubes that have failed in the past. Another significant modification was the addition of a nitrogen [indiscernible] to the outlet of the heater to significantly reduce any collateral damage in the event of any future failure. Louisiana has been a challenging start, nevertheless it is a major step forward in the implementation of our long-term strategy to optimize our iron unit process. In fact, we believe it has already provided short-term benefits. Presence of our Louisiana DRI facility, having produced 1.3 million tons last year and preparing to resume production at the end of the last quarter was a meaningful factor supporting February's dramatic price [ph] adjustment of more than $100 per ton in scrap price. That very much supports our belief in the long-term benefit of our DRI investment. In the first quarter of 2015 our Hertford county North Carolina plate mills recently added heat treating and normalizing assets continue to run at full capacity of approximately 245,000 tons annually. The Hertford county team is capturing a growing share of value added and higher margin plate products. Relative to an investment of approximately $150 million, our value added capabilities both incremental pretax profit that should average $200 per ton through this cycle. During the first quarter the first field installation of Nucor model's new Berkeley piling sections was successfully completed. This new product is the result of a $115 million project we started off in the fourth quarter of last year. Our customers will benefit from this new domestic talent [ph] solution as they pursue by American government funded infrastructure projects. Nucor model's expanded product portfolio will also create valuable synergies with the other products and services bolstered by the skyline field, piling distribution business we acquired in 2012. Our goal over the next several years is to grow our wider piling sections annual volume to 100,000 tons with combined steel mill and distribution pretax profit potential of approximately $450 per ton. Momentum continues to build at Nucor's fieldBerkeley$98 million wide like capital project that started off in early 2004 and has shipped approximately 120,000 tons last year. We expect to ship about 200,000 tons of the new products in 2015 and eventually grow volumes to be at least 300,000 annually with the pretax profit averaging $100 per ton through this cycle. Berkeley now has the widest hot rolled gage capability of any sheet mill in the Southern United States market and with the finished wood capability of up to 72 inches. A particular importance, the upgrade allows Nucor to produce thinner high strength steel grades that we planned to use to develop lightweight automotive applications. As I said earlier, these are just some of the growth initiatives. I look forward to updating you again next quarter on our progress implementing our strategy for profitable growth. Here are the some of the reasons why I believe Nucor will continue to deliver profitable long-term growth and industry leading returns on capital. Our low and highly variable cost structure is Nucor's bedrock competitive advantage. We understand that to generate attractive returns in a commodity business you have to be a low cost producer and see continual improvement in the cost structure. Our balance sheet strength and through the cycle cash flow generation underpins our long-term focus and ability to take advantage of profitable growth opportunities particularly during cyclical downturns. Our upstream vertical integration into raw materials enhances the profitability and flexibility of Nucor's core steel making business. David J. Joseph Company's unmatched global raw material supply chain combined with our investments in DRI and scrap dealers is Nucor's best in class capabilities and flexibility in optimizing or is by far our largest single cost item iron units. Our industry leading product and market diversity continues to grow as we move up the value chain in all of our businesses. Our downstream vertical integration into value added steel products enhances the profitability and flexibility of Nucor's core steel making business. Our expanded challenged market such as Harris Steel, Steel Technologies and Skyline Steel increased our ability to compete with unfairly traded influence by expanding our opportunities to add value to our customers. Our commitment to achieving commercial excellence by leveraging Nucor's competitive advantages such as product diversity and operational flexibility to create more value tool and build stronger relationships with each of our customers. And most importantly Nucor's employees the right people. They embrace the Nucor cultures pay per performance philosophy and cash the continuous improvement and taking care of our customers plus shareholders and their fellow teammates. That is why they are company's greatest assets and our greatest competitive advantage. As has been throughout Nucor's history, our company’s [indiscernible] area head of us. Thank you for your interest in Nucor. We would now be happy to take your questions.
Operator: [Operator Instructions]. We'll take our first question from Luke Folta with Jefferies.
Luke Folta: Good afternoon
John Ferriola: Good afternoon how are you.
Luke Folta: Good. Hey John can you help me bridge the gap between the commentary around non-res construction improvement and the shipment levels in the first quarter, if I look at some of the key categories and structural and even in the joist and decking and the bar businesses. There is some fairly healthy decline year-over-year. Could you just give us some color on what that driven by is that mostly an import issue or is it timing?
John Ferriola: Well it's actually a combination of imports and timing. You're comparing it to first quarter of 2014 and if we focus on one that's fixed structural. But most --
James Frias: I think it was comparing the fourth quarter of --.
John Ferriola: When you comparing the first quarter or fourth quarter of last year.
Luke Folta: I'm looking now year-on-year 1Q to 1Q.
John Ferriola: My bad. So if we focus on one particular area let's just take structural with these are the basically the same for all of the categories. But at the beginning of 2014 we're looking at a situation where as you said imports were much lower service center inventories were down we were going into a year where non-residential construction was projected to be up frankly in the first quarter we were talking about price increases that were out there. So, you know combination of all of those resulted in much higher order ranking rates in the first quarter of last year compared to the first quarter of this year.
Luke Folta: Okay. And then if you look at the full year expectation - square footage expected to grow about 7% to 8% this year I mean outside of the first quarter issue as it pertains destocking in imports would you expect that you’re these categories should grow about in line with that pace?
John Ferriola: Again taking imports out of the equation if we see the growth that we are projecting in non-residential construction we should see volume increases as compared to the first quarter particularly as we move out of the seasonal issues that are affecting the first quarter in a lot of our business particularly when you look at some of the downstream businesses such as Harris where frankly the type of new construction work in the first quarter of January and February and many of our Harris facilities are located in Canada just to kind of amplify the situation so. We do expect it to improve as we come out of the first quarter weather conditions improve and we see the expected increase in non-residential construction.
Luke Folta: Okay. And just secondly on DRI understanding that we've got high cost inventory to work through and that impacts unit cost in the outage as well if we imagine a scenario where we stay in the sort of 260-275 pig iron environment and iron ore 50 bucks. Can you give us some sense how we should think about profitability of DRI at full production? Is it profitable meaningfully at that level?
John Ferriola: It would be cash positive at those levels when you're talking about pig iron at 250 we do transfer our DRI on a pricing mechanism that's based upon pig iron and I would say that at the level of about 250 for pig iron we are cash positive. I would also point out that I'd be quick to point out that I personally believe 250 for pig iron is an unsustainable level it's a result of some significant and unusual currency issues and the geopolitical issues so I personally would not expect that to stay at that low level long-term. Having said all of that we have said from the beginning when we talk about the DRI project that over the close of the cycles is going to be times when we get singles times when we bonds and sometimes when we get grand slams. We talked just last quarter about the very positive contribution from our Trinidad operation and when pig iron was at a more normalized rate and we expected to be back up to those levels again and we expect to see a very good returns on our DRI investment when that occurs.
Luke Folta: Alright, thank you gentlemen.
Operator: We will take our next question from Timna Tanners with Bank of America/Merrill Lynch.
Timna Tanners: Yeah, hey, good afternoon.
John Ferriola: Good afternoon. Timna, how are you?
Timna Tanners: I am okay, thanks. I wanted to make sure I can understand that what happened between your initial qualitative guidance to the quantitative guidance to the beat. Can you just talk us through what changed in your assumptions or what changed in the market environment to change the outcome?
John Ferriola: Certainly, we can do that. As always on these things as many factors but the key one the driver for all this was frankly the steel performance, the performance of our steel mill improved. In forecasting we underestimated the impact that we would have on our margins on scrap pricing going down we got to realize the lowest scrap price quicker and frankly in some of our products we had higher volumes. So the combination of an improved margin relative to our forecast and some volume increases above our forecast we did beat the forecast as you mentioned.
Timna Tanners: Okay, so two questions just to finish up then. One, why did prices fell less in sheet then they did in the plate and beams that's a very high profile to see how much sheet prices have fallen recently but plate and beams I thought it'd be fall on just more recently with the $100 scrap moving just in February so why did you see plate and beams fall more than you did in sheet in the quarter?
John Ferriola: For one element that you have to take into account when you to answer that question is that some portion of our sheet businesses on quarter-over-quarter contract pricing that's based on some mechanism. So when you - there is a lag time before you see that decrease in those contract pricing. I would also point out that although the import situation is very serious on sheet product and particularly plate has been unbelievable tsunami of imported plate over the last two quarters. And that of course had a dramatic impact on pricing of the plates.
Timna Tanners: Okay. That’s helpful. And then the only thing that I want to ask is just, maybe it's philosophical but now I'm just been surprised that how I know prices always over correct in a down market. But why would a company like and many like yourselves, you have some flexibility to ramp down continue to produce at these very low prices and to match imports. Isn't there a price at which you say no I don't want to make that lower margin and I'm going to hold out and if the prices are expected to recover. Why is everybody including yourselves I guess continue to produce and offer these low price tons at import levels. Is that import equivalent level, what do you think?
John Ferriola: Well so it's balanced. Right, you want to look at you're the buying - your facility which obviously impacts your fixed cost of that facility. So that's one issue. Secondly we need to take care of our customers we don't want to give up market share sometimes when you lose a customer or lose a business opportunity it's hard to regain it. And our customers count on us being there even when it's difficult pricing environment. So there are just a couple of reasons that we continue to operate. I'll also point out that Timna and let me know if I didn't answer that question if I did tell me what you wanted to hear on that. But given the radical change in the scrap cost which we frankly believe becoming because of the large gap between scrap pricing and iron units. We felt that we can work our way through those tough times keep our customer satisfied maintain our market share not lose good opportunities knowing that we would ultimately be able to as a result of our scrap cost going down to be able to correct our pricing and get it closer to the market to the imported price and maintain a margin.
Timna Tanners: That makes sense. Thanks for the answer.
Operator: And we'll take our next question from Evan Kurtz with Morgan Stanley.
Evan Kurtz: Hey good afternoon guys.
John Ferriola: Hey Evan how are you.
Evan Kurtz: Good. My first question is on trade. So it seems like you're taking kind of a two pronged or maybe the industry is taking a two pronged approach to trade issues. One is just putting together a trade case and keeping at about on flat rolled. But the other is on the legislative front. Senator Brown has got these level playing field rules that is I assume trying to attach the TPA at this point. So it seems like maybe there is a chance you get some of these rules that would actually change the way that harm is measured in the US through in the next few months here. How do those two things impact one and other. So my question is would you wait to file a trade case on flat rolled if you think it could maybe change the rules at the ITC on the harm decision or are those completely independent?
James Frias: When we fight we use both of this, okay. So those are two pronged approach and we're going to use both of those prongs to achieve a level playing field. So that our team mates can be successful which we know they will be on a level playing field. I've mentioned on the last couple of calls that I've told that we're gaining traction in Washington on both of those fronts I still do we are getting a much better reception. People are beginning to understand I believe people are beginning to understand the impact of these illegally traded products on our industry and on our team mates steel workers in general. It's about focusing and pursuing trade cases when that's appropriate and moving forward on the legislative front at the same time. We see great opportunity frankly on the legislative front particularly with the TPA discussions that are going on today and we are pushing very, very hard to getting good reception on both sides of the aisle to the concept that if TPA is going to be approved it must be approved with strong trade language to protect our industries and give us the ability to better and more effectively and more proactively by illegally traded products.
Evan Kurtz: Great. And then just maybe on the trade case. What's kind of your outlook there on timing it seems like it's been a pretty weak first quarter from most folks at this point and second quarter probably for most folks will also be fairly difficult. Do you think the case is ready to bring at this point or do you need to demonstrate more harm before the industry is comfortable to filing.
James Frias: Well let me be clear we will continue to assess the market and we will implement the trade case at the appropriate time.
Evan Kurtz: Okay. And then maybe just one last one quickly on scrap. What's your view for the upcoming months it seems like flow is maybe somewhat pick up a little bit which would be negative or maybe demands coming back where you think it all shakes out.
James Frias: Well frankly our forecast will be pretty flat line for the rest of the year. Obviously when you talk about scrap is always slight variations in different regions. We expect some movements in different regions up 5 down 10 so forth as we go throughout the year. But overall as you look at the year as a whole I think we're going to be pretty flat lined on scrap prices.
Evan Kurtz: Great thanks. With that I'll turn it over.
Operator: We'll take our next question from Matthew Korn with Barclays.
Matthew Korn: Good afternoon everyone. Thanks for taking my questions.
James Frias: Good afternoon. How are you?
Matthew Korn: I'm alright all right. Let me ask how much of your lead time is improve today say versus the bottom of this previous quarter. And how deeply are you sold into May June particularly as you're expecting much better results in the downstream segment looking at.
James Frias: Well as we mentioned in the script, this is a quarter of transition. So we're not quite sure when we'll see that actual kick in today. I would say a very modest improvement in lead times very modest frankly not significantly over the first quarter. And I would expand it would go across say I would apply it all basically all of our products. Now the one exception I would add to that is in the sheet side on the galvanizing the cold rolled products that those lead times are longer and we still see a pretty strong demand in that area.
Matthew Korn: Alright and kind of following up on that and on your volume expectations gradual construction in order to meet improvements. When you're looking into this transitional second quarter. Is the improvement in earning really going to be mostly a margin expansion story on the realization of scrap cost or could you see some real volume improvement.
James Frias: I would say it's the combination of the two. And again to give me it out further than that the most specific from that very difficult to do. But I would say that it was a combination of both.
Matthew Korn: Got it. Appreciate the time gentlemen. Thank you.
James Frias: Thank you.
Operator: We'll take our next question format Murphy with UBS.
James Frias: Hi Hello Matt.
Matthew Murphy: Hi. Can you hear me?
James Frias: I can hear you great.
Matthew Murphy: I'm good thanks yeah. I was just wondering what your capacity utilization is right now if there was 65% on average for Q1 would it be lower than that now.
James Frias: It's about the same. I can't speak to what it is exactly today, but so far we are about the same.
Matthew Murphy: Yeah okay. And is that I mean I guess I'm just wondering what the does the recovery profile of that just like we should basically be watching imports coming off to drive that backup.
James Frias: Well again there will be a number of factors. Imports beginning to drop off. Although we have seen and I want to stress that it's going to be a while before we see that drop off. Although we've seen a slightly decline in licenses it was so much out there in the pipeline that this is going to take and so much is already reached the service centers and just filled up their inventory. It's going to be a wild before we work our way through that. And now I can tell you that for the first time this month and numbers that just came out on service and the inventories we see them coming down just a little bit but imports are some it's just certainly watch and there is other factors too particularly on our shade sheet business when you want to book at oil prices. Now I can't tell you when it's going to recover but certainly we've seen a tremendous impact on our flat rolled business as a result of oil pricing going from $150 to $50 our volumes are way down. Same situation there we flooded the pipeline with material there has been a complete stop as they work their way through this inventory at some point maybe third and fourth quarter we'll start working our way through that inventory and we will see order rates that are consistent with new normal drilling levels that are expected with the lower price and other thing you can keep your eye on is currency obviously the strong dollar has an impact on what's happening both on our raw material side and on our steel shipment side and it relates to imports and other factors so I try to give you couple of things that you can keep an eye on but there is a multitude of things that we have to watch and see what’s going to happen as we go forward.
Matthew Murphy: That’s good color I mean and then basically just sort of looking at like these are six month thing but I understand but I understand its dependant on all of those factors I guess on scrap prices I have been little bit surprise that no one is expecting it seems much more weakness there given we have seen continued iron ore weakness and so I guess just on scrap what’s the confidence of that we've got some pricing stability for a while here?
John Ferriola: Well, I mean all I can tell you is my confidence level we gave you our projection we believe in that projections we think that it's going to be fairly stable right now iron ore pricing its fluctuates a little but spend relatively stable also if there is a dramatic change in iron ore pricing it might have the inflection in scrap pricing but we don’t see that at this time.
Matthew Murphy: Okay thanks.
Operator: We will take our next question from Michael Gambardella with JPMorgan
Michael Gambardella: Yes, good afternoon.
John Ferriola: Good afternoon, Michael. How are you?
Michael Gambardella: Very good. I have a question if you are assuming that scrap prices are going to stay relatively flat rest of the year and you saw a massive $100 drop couple of months ago. When do you or are you now picking up share against the integrated mills who are basically fixed cost and when you get $100 drop and scrap they saw a very little of it?
James Frias: Obviously it made us much more competitive and the reason people buy steel it’s based upon four things I said this many times service, quality, on-time delivery and price. And when we are in a situation where there is such a difference between scrap and iron ore pricing we had a real disadvantage on pricing and that impacted our competitive position frankly when I think about how we did during that period with a gap with so large I am really proud of the job our team did on the other three elements of quality service and delivery that kept us in the game when we had $100 differential on cost and now that has been reduced the scrap coming down very confident that we will continue to be aggressive and now we've got we're competitive on all four of those elements and I feel good about the way that will go forward in terms of any market share.
Michael Gambardella: Is it your sense that you are gaining market share now?
James Frias: I am not going to get into specific at any one point in time. I'll just say again, we have the pricing competitive risk not only integrated but we reduced the gap between imported pricing and all pricing and we deliver superior quality service and delivery based on all of that I am confident that our team will gain market share as we move forward throughout the year now there is going to be a lot of practice that come into that as we've talked about in the past.
Michael Gambardella: Thanks a lot John.
James Frias: Okay.
Operator: We will take our next question from Brian Yu with Citi.
Brian Yu: Thanks good afternoon John and Jim.
James Frias: Brian how are you?
Brian Yu: Good, Just wanted to follow up Timna's comments earlier so I guess I'm equally surprised that spot price been computed down and I guess more 50 I know imports they continue to be a big problem but if you just look at where import offers are today versus physical flow that like do you think we pass the point where now it’s more about domestic competition for market share versus all the domestic producers trying to keep out the imports?
James Frias: Let me be really clear about these imports continue to be our number one - we are focusing on pricing here but you need to remember that there is such a tremendous over capacity we are looking at 300 million tons of excess capacity worldwide. Now that has been a continuously good pressure on our market and our profitability. Having said that, we have reduced the gap between the domestic pricing and imported pricing but look imports are going continue to be our number one challenge for our industry and our company as a whole.
Brian Yu: Okay. Second question is this is more with your iron ore pellets inventory. How much inventory do you typically keep on hand at Louisiana I think you mentioned earlier that you're probably going to use through the high cost in second quarter so, if that occurs…
James Frias: Let me if I may just correct that because I want to make sure we are clear on that. Today there is a gap of about $60 between the pricing of the iron ore that we have on ground and what market pricing would be. At the end of the second quarter we expect that we will reduce that gap from about $60 down to about $15. We will reduce the gap by $45 at the end of the second quarter it will be it will take us through the third quarter sometime around the middle towards the end of the third quarter before we reduce that last $15 gap and get us down to market price for iron ore. Please continue with your question but I want to correct that and be very specific on that.
Brian Yu: That was a lot more information I had hope for so great. But maybe along those lines how much inventory do you typically keep on hand so your fleecing price had moved down in Q1 and how long before that actually flows through in the more normalized basis and then I know you guys…
John Ferriola: About iron ore you are asking about…
Brian Yu: Yes, iron ore in general not in…
John Ferriola: That would be about five to six weeks at Louisiana.
Brian Yu: Okay. And when you take these inventory adjustments the further LIFO credit incorporate assumptions about iron ore piling cost and that is accurately separate?
John Ferriola: Well it certainly effects our LIFO calculation at the steel mills at our LIFO but the DRI plants are not under LIFO.
Brian Yu: Okay, Got it. Thank you.
Operator: We will take our next question from Nathan Littlewood with Credit Suisse.
Nathan Littlewood: Good afternoon guys. Thanks for the opportunity. Just had a couple of question the first one the market share on the back of Mark’s question earlier. Could you talk a little bit about where you might be seeing market share opportunities and then say the back half of the year be it either by sort of product or end market?
James Frias: Well we've talked about the growth, the organic growth that we've had and the products that we're bringing to the market so certainly we would expect to see market share growth in our structural business with our new piling sections we talked about the growth in the sheet side of the business with - project and how we expect that to grow year-over-year. SBQ would be another area as we continue to bring new products onto the marketplace. We are continually moving forward with our private in SBQ so, I expect market share growth in that area also and so, what are we outplay we mentioned we are running our heat treatment in normalizing the mining basically at full capacity and you know I mentioned the projects that we're doing on our SBQ mills so I don’t want to leave our raw products which we are introducing raw products to the market that have been accepted very well so we expect to grow our market share there also. And as I have mentioned on calls in the past one of the few bright spots pass in the marketplace today is automotive and we expect to grow up participation in automotive this year also last year we shipped about maybe 1.1 million tons sheet and SBQ combined products into automotive and this year we are anticipating shipping about 1.45 million tons of combined sheet and has continue into the automotive market and part of that's being supported by I'm going to put a little plug in here for our new Detroit automotive office that we've just established and it's been well received by the automotive companies we have - metallurgical and engineering team mates and sales people in that office to help support push into automotive.
Nathan Littlewood: That's useful John. Are there any updates on the sort of exposed order or body and white industry since last we spoke about this?
John Ferriola: No, Certainly body and white that's one of our strong points that we are moving into and when you say expose. Exposed accounts were about 15% of the weight of steel per vehicle. And certainly we want to play in that game and we do. We have a product that we can put into that and have put into that and exposed applications. But as clearly not a focus point for us. When we look at body and white we see 75% of the volume going in there that's our focus point. We look at what they called closures which represents 25% the remaining 25% and only 15% of that is exposed. So combined you're looking at 15% out of the total weight of the cost. It's not something it's not where our major push is going to be.
Nathan Littlewood: Got it, okay, that's helpful. And my final one was just one the DRI project and raw materials. So look I certainly understand the raw material strategy here and we do like the fact that there is this additional flexibility built into your sort of iron unit’s procurement here. But I mean can we consider a scenario where the pricing environment is just not conducive to DRI bank profitable. And let's assume it something to do with iron ore and pig iron spreads. Could you talk a little bit about what sort of flexibility you have in your raw material contracts to effectively flex those volumes down. And so you're going to reduce DRI output just because it isn't profitable or it can't be profitable. And perhaps and bring it back again later in the future when margins or spreads are a bit more conducive to that plant being profitable.
James Frias: Well we get our raw material iron ore from four different sources. And I'm not going to give you the specifics of what kind of contracts we have with each one of those particular suppliers. But in general we have a level of about 25%to 35% flexibility in the supply of raw material iron unit. So we can credit back 25% to 35% and I'm talking now across all the contracts I'm not going to get any more specific on that. But if I may I want to take a moment here, because there was a question earlier about the DRI and how should they look at when the cost of iron units and going down we would see improvements. And I answer the question because it was tied originally back to the amount of weeks on hand of iron ore supply inventory we had. And I said that we keep about five to six weeks of inventory on the ground. That is an accurate statement. But if he was looking to get some sense of when pricing changes relative to iron ore pricing on an index bases changes. We need to factor in the issue that we buy at a quarterly basis with a lagging quarter. So for whoever asked that question earlier about seeing changes in the pricing of raw material going into Louisiana please bear in mind when we see the change occur in the index there is a one quarter lag in the pricing that we see at the plant itself, okay?
Nathan Littlewood: Alright thanks very much John. Appreciate it.
John Ferriola: That correction is credit to Joe Stratman who held up a piece of paper and said quarterly pricing.
Operator: And we'll take our next question from Phil Gibbs with KeyBanc Capital Markets.
Phil Gibbs: Hi good afternoon.
John Ferriola: Good afternoon.
Phil Gibbs: Just had a question on the US rationalization of scrap collection and processing and maybe what you've been seeing there the last couple of months and whether or not you will be participating in that trend.
James Frias: Clearly as pricing has dropped and everyone it's in the processing again those it's been very challenging margins have been severely compressed. And it's very challenging for processors to make a decent profit. And we expect to see some people not making it through this very difficult time. Certainly we have a strong balance sheet which gives us the opportunity and we have a strong balance sheet and a history of taking advantage of downturns in trouble times to grow our businesses. So we'll keeping an eye out for assets that come available when they make sense they fit into our strategic plan for a raw materials as the locations are right the pricing is right I'll tell you what we won't be shy we'll be at the table.
Phil Gibbs: John I was just curious as to whether or not you're seeing actual rationalization particularly in the south.
John Ferriola: We haven’t seen much of it yet. But remember that usually a lot of times it's not during the downturn where you see the greatest pressure on these companies, but actually during the upturn, but I have to stop replacing inventory when your completing inventory you generate cash, when you have to replace inventory you burn fluid cash, and sometimes that can be more challenging as it bottoms out, maybe the upturn when you really see company struggle to stay on business.
Phil Gibbs: Okay and then I just appreciate that and then I just had a question for clarification because you were generous enough to give out some of the targets here on Hertford and Berkeley on those projects. Were you saying that the Hertford normalizing line is about $200 a ton over what your normal mix is? And then the same thing with your Nu model on the 450 and then Berkeley on the 100? Thanks.
John Ferriola: That is correct.
Phil Gibbs: I appreciate it. Good luck.
John Ferriola: Thank you.
Operator: We will take our next question from Andrew Lane with Morningstar.
Andrew Lane: Hi, good afternoon. A couple of questions here, First I wanted to ask about the upcoming DRI facility outage in Trinidad in the second quarter is that a standard maintenance project or are you implementing process improvements that you just implemented at the Louisiana facility? And then on a related note, is the timing related to the availability of low price pig iron from abroad and what will be anticipated operating loss associated with the outage? Thanks.
John Ferriola: Let me work through this note, this is in fact a plan preventative maintenance for well shut down that is scheduled in advance and must be doing on a regular angle basis, without getting into all the technical indeed shut down and clean out the piping in the earnest. It's done about once a year, it takes about a month, and it’s a normal process. We are frankly adding a piece of equipment in Trinidad that has nothing to do with Louisiana situation it’s a polisher to improve the yields as the product ships from Trinidad to United States but that’s a side issue there is no failure in Trinidad and anticipate variance it is strictly a planned maintenance outage. In terms of what we expected to get us with, James do you have that number?
James Frias: I am sorry I was thinking, I missed it.
John Ferriola: The question I was asked, can we have the estimate on what the cost of that project is?
James Frias: We don’t have the estimated loss during outage but it’d probably be less than what you saw from Louisiana for the quarter it's going to be much less than that, but there would be some loss from the loss structure of one month.
Andrew Lane: Okay. Thanks and then I change gears for a minute. Given your unique purchase to observe the scrap market to what degree have you seen scrap collection rates dry up in the slower price environment and how low would scrap prices have to fall before you would expect availability become a legitimate concern?
John Ferriola: Well although pricing is dropping, would those have negative impact on collection and flowing to the yards, bear in mind that it's also spring. It's a whole lot of at the time when people are collecting [indiscernible] in winter, transportation is not a factor like it is in winter. So they kind of balance out and although we have seen a small amount of increase in flowing to the yards it's not been significant and it's balanced by the two factors of lower pricing offset by spring time and there was another issue just to kind of build upon that’s something that hasn’t come up in all the discussion we have had today about scrap and I am a little surprised by it. But bear in mind that the other thing we look at to keep the supply scrap up in the United States is the load that we buy offshore particularly with the way the currency is today,[indiscernible]quite a bit of scrap on overseas.
Andrew Lane: And where is the majority of that scrap… incoming scrap coming from?
John Ferriola: As a general statement, Europe.
Andrew Lane: Okay great. Thanks for the color.
John Ferriola: Thank you.
Operator: We'll take our next question from David Lipshift with CLSA.
David Lipshift: Hey guys how you are doing.
John Ferriola: Good how are you?
David Lipshift: I am doing well. So a quick question you know you talked about pig iron being sort of low and expected eventually to bring back up. How do you think the removal of the export tax and figure out that China is going to impact out there.
John Ferriola: Well if it's a renewal of an excellent tax it should go up.
David Lipshift: I know they'll be able to explore more.
John Ferriola: Yeah so I mean the volume will go up their volume will their exports will go up. I'm not sure how much of that would actually make its way to the US as all the market I would expect that there will be other markets that will go to in Europe and in Asia and even in India will more logical markets from a logistics perspective and then here in the United States.
David Lipshift: So as just when whether that would put continue to put pressure on big iron prices.
John Ferriola: Absolutely, its economics, one of one supply and demand. And whenever you have a situation when more suppliers coming into the marketplace. It puts pressure on pricing. So but I would ask you to consider one factor and that is I can't test to the quality of the big iron coming out of China that might be a question.
David Lipshift: Okay. And you don't think lower big iron prices potentially put more pressure on scrap as well that people will start to take more big iron and then scrap could go lower.
John Ferriola: Same reason well supply buying units into the market and it bring pressure on all aspects of volume units, scrap, big iron, DRI.
David Lipshift: Okay thank you.
John Ferriola: Thanks.
Operator: And we'll take our final question from Tony [ph] with Cowen and Company.
Unidentified Analyst: Good afternoon gentlemen.
John Ferriola: Tony how are you?
Unidentified Analyst: Good John. John is there a rationale for the mills not raising prices yet. I mean service center indicate they would be receptive. We see the MSCI inventories are still a bit higher but the moving in the right directionally and it totally we're hearing that end users are living for the most part and the mills. And I'm just wondering how you feel about that.
John Ferriola: Well if there is a service center out there that I want some [indiscernible] from us guarantee at higher prices in the Norway, but as a general statement I understand your point. It’s about an inflection whenever you at the bottom. And if you're asking me where I think we stand on that cycle I would say the couple of times during the - call that we this properly transitional quarter. So we might see something this quarter but I would ask you to remember that there is still a tremendous amount of inputs that are in the pipeline that are on their where [indiscernible] to the United States. So that continues to put pressure on pricing. As I said we'll listen we're not opposed to selling feel at a higher price we like to do that but we also have to take care about customers and maintain our market share in order to those factors that we spoke about earlier in the call.
Unidentified Analyst: Okay, fair enough. And my second question is some of the industrial companies are starting to talk about some signs of softening with regard to US demand. Are you guys seeing any signs of declaration anywhere in your end markets, so outside of energy, and also if you could address…
John Ferriola: I'd have to say no in fact I would say that our downstream products [indiscernible] is true. We see a significant improvement in our backlog order entry and backlog prices.
Unidentified Analyst: And would that be the same John from a standpoint of geographic as well.
John Ferriola: I'm not sure I understand what you mean by that.
Unidentified Analyst: Just in terms of different parts of the country. Obviously you guys have pretty good exposure.
John Ferriola: Yeah if there any part of the country than which we're seeing well that. But right now we will pretty well balance. I might say in Canada we're seeing again Harris - we're seeing much more improvement because they were down so significant because of weather conditions in the first quarter, but other than that pretty well balanced.
Unidentified Analyst: Okay thanks very much. Appreciate the color.
Operator: And this concludes the question-and-answer session. I'd like to turn the call back to Mr. Ferriola for any additional or closing remarks.
John Ferriola: Well let me conclude by saying thank you, thank you to our shareholders and appreciate your confidence and your support. Thank you to our customers. We appreciate your business and I want to say thank you to my new teammates for creating value for our customers, generating attractive returns for our shareholders and building a sustainable future for all of us. And most importantly, thank you all for doing it safely. Thanks for your interest in Nucor. Have a great day and a great weekend.
Operator: And this does conclude today's conference. Thank you for your participation.